Operator: Good morning and good evening. First of all, thank you all for joining this conference call. And now we'll begin the Conference of the Fiscal Year 2018 Third Quarter Earnings Results by Samsung Electronics. This conference will start with a presentation followed by a divisional Q&A session. [Operator Instructions] Now we shall commence the presentation on the Fiscal Year 2018 Third Quarter Earnings Results by Samsung Electronics.
Robert Yi: Good morning. This is Robert Yi from Investor Relations. Thank you for joining our earnings call for the third quarter of 2018. With me representing each business units are: Mr. Chun SeWon, who's the Senior VP of Memory Marketing; Mr. Hur Gok, VP of System LSI Marketing; Lee Sang Hyun, VP of Foundry Marketing team; and Tae Kwon Young, who's the VP of Samsung Display; Lee KyeongTae, VP of IT & Mobile business; and Park Yeong Chul, VP of Visual Display. And we also have Mr. Kim Sang-Hyo and Kang TaeGyu, both from Investor Relations. I would like to remind you that some of the statements we'll be making today are forward-looking based on the environment as we currently see it. And all such statements are subject to certain risks and uncertainties that may cause our actual results to be materially different from those expressed in today's discussion. Before we go over the results, I will address the third quarter dividend. The Board of Directors today approved a third quarter dividend of KRW 354 per share to be paid in November for both common and preferred stock. As was the case in the first and second quarter, the dividend payout for the third quarter is KRW 2.4 trillion, 1/4 of the annual total of KRW 9.6 trillion. We have been focusing on ways to enhance shareholder value over the past few years, and dividends are a part of these efforts. We introduced a new shareholder return policy in October 2015. And our current policy, which was announced in October of 2017, features a significant increase in dividends. Annual dividends are currently KRW 9.6 trillion, up 3x from KRW 3.1 trillion that was declared in 2015, while return on equity, bolstered by earnings improvements and proactive shareholder returns, have also increased considerably, climbing from 11% in 2015 and reaching 20% range since 2017. Also regarding the corporate governance, we enhanced the Board's independence by separating the role of CEO and Chairman. And we also enhanced this diversity through the appointment of a female director and also the one with international C-Suite experience. We will continue to build the foundation for long-term growth by strengthening our competitiveness and discovering new growth drivers and also by focusing on the creation of shareholder value. With that, I would like to walk you through our third quarter results. In the third quarter, the total revenue increased 5% year-over-year and 12% quarter-over-quarter to KRW 65.5 trillion on the back of strong sales of memory products and OLED panels. Gross profit increased approximately KRW 1.2 trillion year-over-year to KRW 30.3 trillion, even though gross margin hedged down. Compared to last year, SG&A expenses declined KRW 1.8 trillion and 4 percentage points when expressed as a portion of sales, a result of more efficient execution of advertising, with the set business focusing their global marketing efforts on key lineups. Operating profits set a new quarterly high, rising KRW 3 trillion year-over-year and KRW 2.7 trillion quarter-over-quarter to KRW 17.6 trillion, backed by a strong performance by the Memory business despite a weaker performance by IM Division. Operating margin rose 3.4 percentage points year-over-year to 26.8%. A weak Korean won versus the U.S. dollar had a positive quarter-over-quarter effect of approximately KRW 800 billion, mainly for the Component business. Conversely, a strong won against major emerging currencies mildly weighted on results on -- in the set business. I will now briefly review operating profits by business units. In the Semiconductor business, earnings improved both sequentially and year-on-year. Under solid business conditions, the memory unit reduced costs in the DRAM business on improved yields on advanced process and fully ramped up production of new capacity in the upper level of the Pyeongtaek campus. For the display business, despite unfavorable supply and demand conditions in the LCD market, earnings improved year-on-year on growing sales of flexible OLED panels to large-scale customers. On a Q-on-Q basis, earnings improved significantly, resulting from an increase in the utilization of flexible OLED panel capacity. In the IM Division, profit decreased year-on-year due to a decline in sales volume and higher bill of material cost amid intensifying competition. For the Consumer Electronic Division, earnings improved, thanks to strong sales of premium TV products such as QLED and ultra large models. Now I would like to share briefly on our business outlook. In the fourth quarter, we expect overall earnings to decline as we enter weak seasonality in the semiconductor market. For the Component business, earnings are expected to decline in the Memory business due to seasonality but remain relatively strong for the OLED business, backed by demand from major customers. For the set business, we expect sales volume in the Mobile business to increase on the back of our refreshed mid-to-low segment lineup, which include our new A Series model featuring multi-camera modules. Profitability, however, is expected to weaken due to an increase in marketing expenses as we enter the peak season. For the Network business, we plan to start supplying 5G equipment, shipping to clients in North America and Korea, and establishing our position at the forefront of the 5G era. In the Consumer Electronics business, we expect earnings to grow as strong year-end seasonality boosts demand for QLED TVs and premium home appliances. For 2019, earnings are forecast to be weak for the first quarter due to seasonality but then strengthen as business conditions improve in the memory market, in particular. Meanwhile, we are focusing on new technologies such as 5G and artificial intelligence and new developments in automotive electrification by strengthening our competitiveness, by leveraging our component technologies such as chipsets and OLED panels, delivering innovative form factors and leading the development of the 5G technology. By doing so, we can sustain mid- to long-term growth based on our technological leadership as markets for these new areas expand. Now I'll address the capital expenditures. The total capital expenditure for 2018 is expected to decrease to KRW 31.8 trillion, down from KRW 43.4 trillion we spent in 2017. Of KRW 31.8 trillion, we have allocated KRW 24.9 trillion to Semiconductor and about KRW 3.7 trillion to Display. In the Memory business, again, we expect CapEx to increase slightly year-over-year due to expansion at the Pyeongtaek campus. The CapEx in the Foundry business, however, is expected to decline year-over-year as the 10-nano line expansion was completed in 2017. In the OLED business, capital expenditure for flexible panels will be significantly lower than it was last year. The total capital expenditure in the third quarter was KRW 5.6 trillion, about KRW 4.5 trillion for Semi and about KRW 0.5 trillion for the Display business, which makes the year-to-date -- at the end of third quarter, total CapEx was KRW 22.3 trillion. Before we move on to presentations from each business units, I would like to share several data points in key business areas. For DRAM, our third quarter bit growth came in mid-teens increase, and the ASP for the quarter was flat Q-on-Q. For the fourth quarter, we expect DRAM market growth to be mid-single digit, and we expect our bit growth to be similar to the market growth. That will make the 2018 total market DRAM bit growth at about 20%, and we will grow in line with the market. For NAND flash, in the third quarter, our bit growth came in low 20%, while we saw ASP decline of mid-teens. In Q4, NAND market bit growth is expected to grow high single digit, and we will grow in line with the market. Again, that will make the NAND annual bit growth at about low 40%, which also is our NAND bit growth expectation. For Display business, the -- in terms of sales -- or the revenue, OLED mix was about 80%. For Mobile business, our total shipment of handsets in third quarter was about 81 million units and tablet was about 5 million. The blended ASP of our total mobile products was about $220. And within the total handset shipment, the smartphone mix was high 80%. For the fourth quarter, we expect our handset shipment to increase as well as the tablet will also increase. However, we expect their blended ASP in the fourth quarter to decline Q-on-Q, and the mix of the smartphone within the total handset shipment will remain similar at a high-80% range. And for our TV sales, in Q3, we saw about mid-single-digit increase. In Q4, however, we expect to see about 40% increase of sales of our LCD TV. But annualized basis, that number will probably come down to a mid-single-digit decrease -- I'm sorry, low single-digit decrease of the TV sales. And now I'll turn the conference call over to the gentlemen from each business units.
SeWon Chun: Good morning. This is SeWon Chun from the Memory Marketing team. In the third quarter, in line with the normal seasonal effect, demand increased mainly from server and mobile. We improved our earnings by expanding the portion of our fine process products and concentrating on shares of premium products. For NAND, with the high density trend for mobile being continued due to cloud companies' infrastructure expansion and growth -- growing portion of all-flash array, [Foreign Language] this peak demand continued. As the softer pricing stimulated the demand, demand growth was higher than expected. For the supply side, due to the industry supply of 64-layer 3D NAND for OEM solutions, the portion of the 64-layer continuously increased in the market. In this process, supply for [ 10-nano ] also increased similarly to the previous quarter. We have garnered solid earnings growth by actively responding to the high density trend for mobile and trend of 8- and 16-terabyte high-density SSD expansion with a stable supply of 64-layer 3D NAND at Pyeongtaek campus. For DRAM, due to peak seasonality, demand from all application increased compared to the previous quarter. Demand for server increased, thanks to OEM peak season and expansion of new CPU adoption by data center companies. For Mobile, all set demand increases due to the effect of large companies and new model launches as well as the continuing high density trend such as 8-gigabyte high-density eMCP adoption for high-end Chinese sets. Mobile demand growth was more solid than the previous quarter. Thanks to increased [ acceptance under ] peak seasonality, solid PC demand continued mainly from large OEMs. Although graphics had an adjustment from mining and PGA demand, positive seasonality from gaming console compensated this demand decline. Consumer demand also remained strong, led by seasonal growth in demand mainly from UHD TV. We continue to achieve solid earning growth following the previous quarter by focusing on strengthening cost competitiveness through expanding 1x-nano product transition and actively responding to each application's customer demand. In the fourth quarter, this external uncertainty like macroeconomic changes certainly may have some impact caused by supply shortage of major IT components. We will try our best to react to market demand throughout our technology leadership and flexible product mix as well as focus on securing good profitability. [Technical Difficulty]
Operator: Due to disconnection from the organizer's side, we are going to proceed our conference as soon as possible. Thank you for waiting.
SeWon Chun: UFS. At the same time, we will focus on strengthening competitiveness in the premium market by preempting high-density demand through uMCP. For fifth-generation V-NAND, we are currently mass producing it mainly for brand SSD. By expediting its transition in server and mobile applications, we will continue to enhance product competitiveness and strengthen market leadership. For DRAM, although price may soften because of supply shortage issues of a major component and short-term inventory adjustment for some customers, memory demand fundamentals are expected to stay solid. By application for server, the high density trend is expected to remain, including expanded adoption of high-density products over 64 gigabyte mainly from OEMs. Solid demand for PC will also continue, thanks to events like Black Friday and holiday season. On mobile, although the Chinese domestic market may show some weakness, demand is expected to increase from the second half mainly from large customer flagship models. Moreover, as the set companies need to upgrade their specs for their differentiation, memory content is expected to increase in entry-level model as well. So we believe that memory demand fundamentals will stay very solid. We will focus on achieving solid earnings by maximizing sales through flexible product mix according to each application's market condition. At the same time, we will focus on strengthening product competitiveness via expanding the 1x-nanometer product portion and strengthen the dynamic activity to establish a solid sales base for 1y-nanometer product. Next, I am going to talk about 2019 memory market outlook. In first quarter, due to the seasonal effect, our memory market may slow down a little. However, demand and supply situation will stabilize from the second quarter, thanks to increase in demand mainly from server and mobile. For NAND, the public cloud market is expanding in line with the trend to store and manage data more stably and effectively, while all-flash array replacement will be accelerated to operate high-performance server optimized for each company. Demand will be [ expected ] high, with more use case optimizing SSD solutions. For mobile, due to the lengthening of the smartphone refreshment cycle, the trend for preferring models with bigger storage, which not only back up the existing data but also store high-resolution and high-density content stably in the long term, will expand continuously. As for the supply side, although supply and production of 64-layer may expand, supply growth will be limited due to the decrease in the existing process capacity for fifth-generation V-NAND ramp-up. And from the second half, as the demand increase will exceed the increase in supply, the supply and demand situation will be improved. We will actively respond to expanding demand of all application caused by price stabilizations. At the same time, we will focus on strengthening our cost competitiveness by expanding supply of fourth-generation and beyond V-NAND. For DRAM, our high density trend for server, including growth in machine learning-based AI services and adoption of high-density DRAM from a memory database and cloud instances, is anticipated to continue. Moreover, in the second quarter, thanks to new CPU platform launches, high-density memory demand is anticipated to expand. Demand for PC is also expected to increase, mainly led by content growth due to the expansion of the high-performance portion like gaming PC. For Mobile, memory demand will remain solid consistently, thanks to continuous high density trend beyond high-end segment and the high density trend for mobile devices due to the impact of competition to improve specs in the entry-level market. As for the supply side, even though it may vary depending on the industry 10-nanometer process expansion, rapid expansion of supply is hardly likely due to increases in technological difficulties and technical intensity. We will intensify our competitiveness in the high-value-added market by expanding sales of differentiated products such as high-density server products, HBM2 and high-density MCP for mobile as well as strengthen our technological leadership. At the same time, by thoroughly monitoring market conditions, we will also focus on ensuring sustainable profitability through efficient investment according to market conditions and flexible capacity management. Thank you.
Ben Hur: Good morning. This is Ben Hur from the System LSI business. In the third quarter of this year, overall earnings in the System LSI business improved quarter-over-quarter, thanks to rising demand of the image sensors in China amid the high seasonality and OLED DDIs for flagship smartphones. In particular, our image sensor business achieved a record high result for any quarter due to expanding adoption of multiple cameras and high-resolution sensors. In the fourth quarter, despite a likely rise in demand from products slated to launch next year, we expect overall earnings to decline due to a seasonal hit in component demand for the mobile image sensors and DDIs. In 2019, even amid a stagnated smartphone market, we expect our earnings to continue to grow solidly, bolstered by contribution from image sensors as demand rise for more sophisticated camera specification such as multiple cameras and high-resolution sensors. In addition, we will concentrate on diversifying our customer base in China and the U.S. by enhancing SoC competitiveness through the use of 5G modem technologies. We will also focus on expanding our business area by diversifying our product line to include 3D sensors, fingerprint on display sensors and chips used in automotive and IoT applications. Thank you.
Sang-Hyun Lee: Good morning. This is Ryan Sang-Hyun Lee from Foundry business. In the third quarter, despite the declining demand for cryptocurrency mining chips, overall earnings continued to grow quarter-over-quarter, thanks to the increased demand for mobile APs and image sensors. In particular, we have secured technological leadership in advanced processes by completing development and the starting production of the EUV-based 7-nanometer process, our first process offering using EUV. In the fourth quarter, demand for mobile APs and image sensors is expected to decline amid weak seasonality for smartphone components. However, on a full year basis, we expect to continue our run of year-over-year earnings growth due to the achievement of customer diversification, including HPC customers. In 2019, we will focus on achieving solid results by ensuring a stable supply of major products such as mobile APs and image sensors. And by diversifying our customer bases in AI, automotive and 8-inch areas, we will extend our number of customers by more than 30%, striving to establish a bridge ahead to stable growth. In addition, we will maintain our technological leadership through full-scale mass production of our 7-nanometer EUV process. Thank you.
Kwonyoung Choi: Good morning. This is Kwonyoung Choi from the planning department of Samsung Display. In the third quarter, the total earnings in the Display business increased quarter-over-quarter based on increased sales volume in both the OLED and HD businesses. For the HD business -- sorry, for the OLED business, earnings increased quarter-over-quarter, led by increased demand for the flexible panels from major customers. In the HD business, earnings improved slightly quarter-over-quarter, bolstered by expanded shipments of related products, such as those for high-resolution and ultra-large TVs. Looking ahead to the fourth quarter, in the OLED business, we expect stable demand from major customers. We plan to focus on increasing our customer adoption of OLED panels by increasing technical differentiation of our flexible displays and improving productivity of rigid panels. On the other hand, the HD business, under weak seasonality, is likely to keep experiencing unfavorable supply and demand dynamics due to ongoing capacity expansion in the industry. Thus, we'll strive to secure profitability by improving yield as well as by expanding our value-added products portion of shipments, which include ultra-large and high-resolution TV panels. Now, I would like to present the outlook for the display market and our core strategy for 2019. For the OLED business, we'll work to diversify into new product categories to continue the efforts to offer technically differentiated products while expanding our customer base, focusing on flexible displays. We plan to secure growth by reinforcing our partnership with major smartphone customers and increasing our cost competitiveness relative to those of competitors. At the same time, we will strive to reinforce our leadership in the OLED business by improving technical completeness for new applications such as foldable and automotive and IT. For the HD business, we expect the market for premium TV panels, such as ultra large -- ultra high-definition and ultra large ones, will continue to grow. However, we are concerned about growing uncertainty caused by capacity expansion investment in the industry. In preparation for such conditions, we plan to focus on sales growth of value-added products, such as differentiated panels for quantum dot and 8K and ultra large TVs. Thank you.
KyeongTae Lee: Good morning. This is KyeongTae Lee from the Mobile Communications business. I will now present the IM Division's third quarter business result and the fourth quarter and 2019 outlook. In the third quarter, market demand for both smartphone and tablets increased Q-on-Q. Our Mobile business achieved solid sales of flagship models, backed by the earlier than usual launch of the Galaxy Note9 at the end of August. The Note9 is showing positive sales trend and has been highly praised for its reinforced performance, including memory content and battery life and useful features such as intelligent camera and Bluetooth Smart S Pen. Despite solid sales of flagship models, overall smart consumer remained at a similar level Q-on-Q due to decreased sales of mass smartphones and increasing competition in mass segment. We reorganized our lineup for mass smartphones by discontinuing production of all the models to prepare for the launch of new models, which negatively affected sales. Our profit decreased Q-on-Q due to increased total promotional cost, including those related to the Note9 launch and unfavorable foreign exchange rate in some regions. As for the Network business, both revenue and profit decreased Q-on-Q because LTE expansion of our major overseas partner concentrated in the first half of this year. Next, let's move on to the outlook for the first quarter. Market demand for both smartphones and tablets is expected to increase Q-on-Q as we enter the year-end peak season. For the Mobile Communication business, we expect our smartphone shipments to increase Q-on-Q, thanks to our enhanced lineup of mass smartphones as the new Galaxy A7 and A9 are built to deliver a whole new experience with their multi-camera. On the other hand, we expect the profit to decrease Q-on-Q as marketing costs will increase under strong seasonality. For the Network business, we aim to supply 5G network in 2 months to advanced nations, such as the U.S. and the South Korea, to commercialize the 5G in earnest. Last, I will show our outlook over 2019. We expect overall demand for smartphone to grow slightly, driven mainly by premium segment. However, as the trend of offering higher-spec game cards has been extending to mass segment, fierce spec competition is inevitable across all segments. For our flagship models, we will strive to expand the sales via offering not only differentiated designs based on innovative form factors such as OLED panel, but also diversify the lineup. At the same time, we will solidify our global leadership and address market competition by aggressively introducing cutting-edge technology for essential features such as camera and display, even to our mass smartphone. As I mentioned earlier, our recently compared Galaxy A9 provides an innovative camera experience through its adoption of world's first quad camera and intelligent camera features. Looking ahead, we will continue to aggressively adopt next-generation technology and features across our entire Galaxy portfolio, including the Galaxy A, to give more consumers an opportunity to experience cutting-edge innovation. Furthermore, we will pursue strengthening our mid- to long-term competitiveness across all businesses. We aim to lead the technological innovation by introducing foldable and 5G devices, which we have been preparing over the past 3 years, at an appropriate time. In addition, we will continue to strengthen the foundation for growth by relentlessly developing our own ecosystem based on AI and IoT. We will share more detailed information regarding AI and IoT at the Samsung Developer Conference, which will be held next week. For the Network businesses, we will actually respond to global 5G market growth by expanding our 5G business to new countries based on our experience commercializing 5G in the U.S. and in South Korea. Thank you.
Kyung Park: Good morning. I am KyungChull Park, Vice President of Visual Display Sales and Marketing team. Let me start with the current market conditions and our result for 2018 Q3. The TV market in Q3 expanded quarter-on-quarter due to favorable economic conditions centering on North America. On a year-on-year basis, however, the market stayed similar due to a decrease of consumption caused by exchange rate effect in emerging market. An increase of sales of high-value products, such QLED and super-large screen TVs, led profit to improve both quarter-on-quarter and year-on-year. In particular, in their second year of release, our QLED TVs received favorable feedback from both distributors and consumers regarding picture quality and differentiated features such as ambient mode and One Invisible Connection. QLED TVs saw sales triple year-on-year and are now a mainstream product in the market. As for super-large TVs of 75 inches and above, Samsung is leading the rapidly growing market by delivering useful features and effectively communicating the benefit of this size. Consequently, we have over half of the market share, and our sales doubled year-on-year, contributing to overall profit growth. The digital appliances market in Q3 continued to show solid growth in advanced markets like the U.S. and Europe. That said, overall market demand slightly declined due to exchange rate effects and political instabilities in emerging markets. Samsung continued to expand sales of premium products such as Family Hub refrigerator and Flex washing machines. Compared to last year, however, our result decreased slightly year-on-year due to economic downturns in emerging markets, such as those in Latin America and the Middle East. Now I will share market prospects for Q4 and 2019. The TV market in Q4 this year is projected to grow slightly year-on-year, mainly in advanced regions. Samsung has strength and leadership in the premium TV market and improved result by capitalizing on year-end peak season demand through close partnership with distributors and by increasing sales of strategic products, such as QLED and super large-screen TV models. And an industry first, Samsung will offer an AI-based QLED 8K TV, providing consumers with incredible and never-before-seen value. This will open up a new horizon of ultra high picture quality TV through our viewing experience, featuring perfect realism powered by quantum processor, allowing consumers to enjoy content through AI of scaling technology based on machine learning. Samsung will achieve high profitability and maintain its role as the industry leader by staying atop the premium TV market and strengthening its technology leadership. For the Digital Appliances businesses, market demand may decline due to global trade issues and amid foreign exchange risks in emerging markets. Samsung will strengthen peak season promotions by region through partnership with distributors and will continue to increase sales of premium products, such as air purifier and high-volume dryers. As for TV, in 2019, the market is expected to stay similar year-on-year even amid risks that include an absence of a global sporting event, a hike in U.S. interest rate and economic instability in emerging markets. Samsung will continue to improve profits based on our solidified leadership in the premium market with QLED and super large-screen TVs. At the same time, we will also continue to lead the ultra high quality picture and super large-screen TV market by expanding QLED 8K TV sales and reinforcing our lineup of super large-screen models. As for the Digital Appliances businesses, Samsung will focus on improving profitability by releasing innovative premium products and expanding online sales. Also, we will secure a future growth engine by strengthening our B2B business that includes built-in appliances and system air conditions. Thank you.
Robert Yi: Thank you. This completes the management's presentation. Now we will go through the question-and-answer session.
Operator: [Operator Instructions] [Foreign Language] The first questions will be presented by Mr. Yoo Jong Woo from Korea Investment & Securities.
Jong Woo Yoo: [Foreign Language] My first question is about the DRAM demand and supply outlook, specifically, the amount or duration of price decline that you expect from the company's perspective. I think overall, the market is expecting DRAM prices to decline, starting from fourth quarter and lasting at least until the first half of next year. I think the focus of the market is the level of decline and how long this decline would continue. And so from the company's perspective, can you share your views of how much and how long the price decline in DRAM will go on from fourth quarter this year until next year? I think there is some hope in the market for a soft landing. And so how sure do think this weak price period could go?
Unknown Executive: [Foreign Language] Until fourth quarter and at least first quarter next year, due to seasonality, there could be some easing in the market condition. But in the second quarter next year, there will be the launch of the new CPU platform. And also, with the wider adoption of the 16-gigabit DDR, there will be greater demand for high density. And we believe that, both on the server and the mobile application side, starting from the second half of next year, the increase or pace of demand growth would outpace supply growth.
Unknown Executive: [Foreign Language] The period of supply shortage that extended for more than 2 years was something that both the suppliers as well as the customers have never experienced before. So in a sense, this current turnaround in prices, I think, is affected, in part, by a psychological factor. There could be temporary mismatch in demand and supply due to various factors, such as the level of inventory at the customer side, also the seasonality of demand. And also the time difference between demand and supply. However, given the fact that there will be continuous demand driven by 5G AI in the mid- to long term, the memory industry demand, overall, maintains -- remains very solid. And given the overall IT industry trend that's becoming more and more data-centric, we believe that demand for mobile will continue to remain strong.
Operator: [Foreign Language] The next question was provided by Mr. Ricky Seo from HSBC.
Ricky Seo: [Foreign Language] My first question is about the treasury share, which was to be retired or canceled. And your original plan that you announced in April was that you will be canceling 50% of your treasury share. But I noticed that today, the BOD does not make any resolutions regarding this. Does this mean your plans have changed?
Unknown Executive: [Foreign Language] To answer your question, there is no change in plans of canceling the remaining 50% of the treasury shares within this year.
Ricky Seo: [Foreign Language] Next question is about the foldable phone. Can you give us a bit more idea of when that will be launched? And also, when I think of a foldable phone, in addition to a larger screen, what kind of appeal points are you planning? Also, I'm assuming that with a foldable phone, the UI, user interface, would have to be significantly different from the existing smartphones. Can you give us a preview on what kind of UI changes you're planning?
Unknown Executive: [Foreign Language] To answer your question about the foldable phone, the foldable phone, we are focusing on combining perfectly both portability as well as the large screen experience by leveraging this innovative form factor called the foldable phone. That's -- so that we're planning to have users experience a smartphone when it's folded and then unfold it to have a tablet experience. At the same time, a key focus of the foldable will be to have an innovative and new multitasking environment, where multiple tasks, multiple jobs can be done very quickly and conveniently in order to provide customers with a product that has significant and genuine value. We also realize that optimizing applications to fit the new form factor will be critical before the product launch. And because there are many factors to consider in developing foldable-specific apps, we are also preparing opportunities to share the content with the app developers. Regarding the user interface differences, what will be new. Actually, the details, I think, will be dealt with at the Samsung Developer Conference that we're planning next week. Even though we're not able to share with you the specific launch schedule for our foldable phone, we will deliver a very high level of completeness through this new product.
Operator: [Foreign Language] The next questions were presented by Mr. Nicolas Gaudois from UBS.
Nicolas Gaudois: My first question is on DRAM. In the light of the recent reduction in DRAM procurement from data center or ISOCELL customers, how much do you think is -- of this is an inventory correction versus supplier of -- digestion of very elevated competing CapEx since H2 '16? And if it is of the latter, how long could we see this period of strong growth continuing before we see a reacceleration of demand driven by longer-term computing requirements by those customers? And then, I have a follow-up.
Unknown Executive: [Foreign Language] Regarding the memory demand, actually, as we mentioned before, with the launch of the new CPU platform coming up in second quarter next year, we believe that there will be a visible increase in demand already from second quarter. Regarding the data center inventory adjustments, it is true that the tight situation that we saw in the earlier part of this year has improved somewhat. But actually, there's differences, depending on the company as well as the product. The inventory levels are different. And I think each company and each product will go through a different optimization process. Given the fact that in the mid- to long term, there definitely has to be inevitable increase of memory demand from hyperscale computing, there could be some adjustments by customer or by product, but that would remain short-term and also on a limited basis. And still, we believe that mid- to long-term demand fundamentals remain very strong.
Nicolas Gaudois: And second question is on NAND flash. You're ramping up 92-layer 3D NAND flash with a single stack structure. Do you expect better or equivalent yield curve of 60-40, which has [ the single stack structure? ] And it is driving some competitivism on capital spending for NAND flash in '19. Commercially, if yields improve faster, could we see more [ MIT ] today with the capacity being deployed into 2019? And finally, if you could clarify how long can you continue to iterate this single stack structure since all of your gears are moved to a much more stacked structure now?
Unknown Executive: [Foreign Language] To answer your question, our ramp-up of the 5 generation, the fifth-generation V-NAND is going according to plan smoothly. In terms of the yield curve, it's similar to our fourth generation or a little bit better than our fourth generation. Because it takes longer to qualify for server or mobile SSD applications, currently, we're mainly supplying towards the PC SSD applications, but we plan to start supplying to server and mobile applications from next year as the share of our fifth generation increases. In terms of CapEx and investment. As we always do, we will be operating our CapEx flexibly, depending on how yield comes. And regarding the single stack technology, as we mentioned during the tech day event, it's difficult to tell you right now how long we will maintain the single stack or how long that will be possible. But as I mentioned on Tech Day, we're already preparing to use the single stack on our 6G. And sixth generation is current for mass production second half of next year.
Operator: [Foreign Language] The next question were presented by Mr. Kim Dongwon from KB Securities.
Dongwon Kim: [Foreign Language] I have 2 questions related with the 5G market. First question is towards the IM Division. With the opening of the 5G market next year, do you expect to have more contracts, more orders regarding network equipment for 5G? Also, do you think that there will be a positive effect on driving demand for your flagship hand -- smartphones? And if so, how much? Also, what do you see as your competitive advantage in terms of 5G market as a company that also does mobile devices? Second question is towards the System LSI. Also on 5G, how do you assess your own competitiveness for your 5G modem chips? And do you think that you will be able to add new customers on the mobile side?
Unknown Executive: [Foreign Language] To answer your question about the 5G, first, on the equipment side. This year, commercial 5G service is expected to start in the leading markets. Korea and the U.S. will start first, followed by Japan, Europe and China next year, and also rolling out to other growth markets, such as India in year 2020. And so as 5G service rolls up for various countries, we will be facing various opportunities.
Unknown Executive: [Foreign Language] To answer your question from the handset side, actually, there will also be a very important turnaround with the adoption of 5G. It will be a good catalyst to shake up the stagnant overall market in the handset. Especially with the adoption of 5G, various services that could not be fully enjoyed due to restrictions on network speed will not be -- will now be enjoyable. For example, ultra-high picture resolution 5K -- or 4K-plus video or live streaming, cloud games, these will all now become possible with 5G service.
Unknown Executive: [Foreign Language] With these new services possible, we believe that there will be a greater need for high picture quality, high-performance, high-density memory on the handset. And this will drive stronger demand for handset replacement, especially around the high-end smartphones. [Foreign Language] Regarding 5G, as you mentioned, we have the strength as a company that has not only 5G equipment, but also handset and chipset. And based on this strength, we are focusing on delivering first commercial 5G service in the world. Also, we would like to highlight the fact that we have been preparing thoroughly on the security side as well. We have security technology that is recognized by major countries' governments around the world. [Foreign Language] Also, while preparing for 5G commercial service, we're also focusing on delivering diverse and differentiated points around high-quality video, real-time streaming and game experience that actually maximizes the benefits of 5G that can be enjoyed on our handsets as well as delivered through our 5G equipment; 5G characteristics being high-speed, low latency and hyper-connected service.
Unknown Executive: [Foreign Language] I think in terms of our quality and the performance of our technology we have already established a clear track record on the LTE side. We have already supplied, to more than 140 service providers, more than 500 million products. [Foreign Language] In terms of our 5G modem preparations, it is synced to the 5G commercial rollout schedule of each country. And we are also reflecting the unique technology requirements country-by-country. [Foreign Language] We're also backing this up with active promotions, especially to customers in China and the U.S., so that they are able to appreciate the leadership we have in 5G technology.
Operator: [Foreign Language] The next question were presented by Ms. Claire Kyung Min Kim from Hana Financial Investment.
Kyung Kim: [Foreign Language] I have a question regarding NAND. The NAND price, this week decline is continuing. But on the other hand, I think the market is hoping that maybe the lower prices will drive up demand and that could actually put the market back to a supply-and-demand-balance. Where, in terms of which applications, do you think there is a possibility of greater demand growth? And in that context, can you share with us your overall outlook for demand/supply situation in 2019?
Unknown Executive: [Foreign Language] Regarding the effects of demand growth driven by lower prices, I think that effect shows much larger on the NAND side versus the DRAM side. Especially, we're seeing that with lower prices the acceleration is happening in terms of adoption of higher-density NAND, especially around e-storage on the mobile applications and the conversion from 10K HDD to ASAs are accelerating as NAND prices become lower. We have been tapping, leveraging this widening base of NAND storage so that we have been increasing our shipments 2 consecutive quarters in a row. And actually, our inventory levels have decreased this quarter. [Foreign Language] Looking forward to next year, even though until the first half, due to seasonality the stable prices will probably continue. If we look towards the second half of next year, there will be the seasonal effect kicked in with the increased demand driven by lower prices. And once these 2 come into force together in the second half, we believe that there will be some demand in the second half of next year. On the demand side, looking forward to next year, the demand situation will depend, for example, on the mass production of 3D NAND, the 90-plus layers as well as the yield situation for each company. But overall, we believe that [ fiscal ] on a year-on-year basis will not be large next year. So given this demand outlook and also the expected strong demand in the second half, we believe that the demand-and-supply situation will turn positive next second half.
Operator: [Foreign Language] The next questions were presented by Mr. J.J. Park from JPMorgan.
J.J. Park: [Foreign Language] I think there's a market talk that Samsung has been -- has pushed out its DRAM investments. And so in that context, can you share with us if there is any changes in your investment plans? And even though it's a bit too early, can you share with us your CapEx plans for next year?
Unknown Executive: [Foreign Language] I do imagine that the market will be very interested on our investment plans. Regarding the investments, the upper level of Pantech, that is going on according to our original plans. Regarding when and how much of the remaining capacity to invest in 2018, that we will flexibly decide depending on the line operation situation. But right now, what we are considering is rather than increasing more capacity, we are, for example, considering converting the 16-line NAND capacity to DRAM capacity. And I think part of that is what you're hearing in the market. [Foreign Language] Also to add, actually there is other ways in capacity investments to gain memory bit growth. That's through efficient production and yield. And we will be focusing on delivering memory bit growth through efficient productivity. And in terms of our line operation and investment, actually, we will be making decisions from the entire Semiconductor business, including System LSI.
J.J. Park: [Foreign Language] My second question is about the shareholder returns. The current shareholder return program covers the 3-year period from 2018 to year 2020, with additional possibilities open for 2021. But given the fact that this year, your free cash flow is quite strong and next year outlook is not bad, could there be a possibility of additional shareholder return being announced next year?
Unknown Executive: [Foreign Language] I think that we could check the free cash flow for the entire 3-year period, that's from 2018 to year 2020, when we approach mid-2019. And we found that review, we could consider additional shareholder return to -- additional to be KRW 9.6 trillion each year during the 3-year period.
Operator: [Foreign Language] The next questions were presented by Mr. Hwang Min Seong from Samsung Securities.
Min Seong Hwang: [Foreign Language] Listening to most of the questions that were being asked on today's call, I think that shows that there is quite a lot of concern in the market about the future industry outlook on the memory side. And usually, based on our past experience, when there is an industry downturn, it ends up being worse than what we expect going into the downturn. But as a memory industry leader, do you think that this time it will be different? That it will be less than what the market is concerned of? And if so, what is the reason? What are the grounds for your confidence?
Unknown Executive: [Foreign Language] To answer your question, I think, one big difference is while the past IT cycle was mainly driven by PCs, this time, we're seeing a more diverse application that's in addition to PCs, there's a larger share taken up by mobile as well as server demand. So this diversification is one difference from the past experience. The other is that compared to PC, mobile and servers actually have a weaker seasonal cycle as well as a demand cycle. As you know the seasonal demand change in the server itself is not large compared to PCs. Also, we're in a huge mega virtuous cycle where huge amounts of data is being generated from various applications and devices that eventually ends up on the server, and that is what is driving the server demand. And we think that we are just in the start of this virtuous up cycle. [Foreign Language] We think that actually, this isn't just a change, but it's better described as a paradigm of transformation since large demand driven by the server application is a new paradigm in terms of the memory industry. The fact that the industry has gone through a supply shortage for 2 years is, I think, explained by 2 main factors: one is on the supply side, the level of technology, the difficulty in processes has become very different from previous as we enter the 20-nano and below technologies. So that's one factor. The other is the fact that there is this transformation in terms of the demand base. And these 2 were the reasons why we have been in a supply shortage for 2-plus years. The current price decline can be explained by various factors, including inventory levels at customer level, seasonality of demand as well as this psychological factor that the customers have never seen prices maintained so strong for 2 years and more. And that is a temporary reason why we're seeing a price decline. And these temporary price declines can repeat in the future, but we believe that fundamentally, we have a very strong demand base for memory.
Unknown Executive: [Foreign Language] We will take first 2 more questions.
Operator: [Foreign Language] The next questions were presented by Mr. [ S.D. Kim ] from [ Daiwa ] Capital Markets.
S. K. Kim: [Foreign Language] My first question is, is for the display side, your third quarter earnings is quite solid as your overseas customers adopt OLED more but I think there is still concern of flexible OLED demand and the utilization levels. So can you share with us your outlook on OLED demand and utilization, including for next year business outlook? The second question is for the CE, the TV side. Can you share with us the response of the market for the newly launched 8K TV? Also, how much in terms of sales are you expecting next year? Also, I think there is quite a lot of more in the market regarding the QD-OLED new product as well as the technology. Can you share with us the company's position regarding this rumor? And also what is your mid- to long-term technology roadmap for your TV business?
Unknown Executive: [Foreign Language] To answer your question about the display side, we do notice that the OLED panels are becoming the mainstream in especially the flagship smartphones. And we expect this demand to continue next year. [Foreign Language] However, on the supply side, with new competitors entering and the increase in capacity, competition, we're expecting, will become fiercer. [Foreign Language] We will leverage our technology advantage, which we have been building up over long term to maintain our competitive advantage in the market. [Foreign Language] Also, at the same time, we will be focusing next year on expanding the applications where our OLEDs will be used. For example, we will be leveraging our differentiated technology to expand into applications, such as foldable, automotive and AI, which require a high level of technology. [Foreign Language] Also, on the customer base, we will be increasing strategic customers so that we have a well-diversified customer base. [Foreign Language] And so based on all of these initiatives, we will focus on recording higher revenue as well as profitability versus 2019, increasing our utilization versus this year. [Foreign Language] To answer your second question about the market response to our 8K TVs, currently, it's mainly being sold around the North American, European and Korean markets. Both from the channel as well as customers, it's getting very positive reviews both for the 8K picture quality as well as the design. [Foreign Language] The launch of the 2 LED 8Ks this year, the significance of that is that we were able to open a new market territory of ultra-high picture quality TVs, leveraging our technology leadership. We will be moving this out globally next year to report significant sales as well as maintain our leadership in the premium segment. [Foreign Language] Your second question about the QD-OLED TV and the development plans, we have always focused our R&D efforts in delivering better picture quality experience as well as better value to our customers. [Foreign Language] Even though QD OLED is being mentioned in both the industry as well as the academia as one of various TV technologies, we will be focusing this year on the QLED technology, which is becoming a mainstream. So our tests are starting to become a mainstream this year. And also as a 2 track, in addition to the QLED, we will be focusing on the MicroLED, which has various advantages in the fact that it does not need a color filter and in terms of black color and angle -- visible angle as well as picture quality and brightness has many advantages. So our technology road map is to have a 2 track between QLED and MicroLED. [Foreign Language] We will take one last question.
Operator: [Foreign Language] The last question will be presented by Mr. Doh Hyunwoo from NH investment & Securities.
Hyunwoo Doh: [Foreign Language] My question is about the Foundry business. Recently, a major competitor announced that it will drop its 7-nano development. What impact would that have on your business? Second question is, can you give us an update on your EUV development? Specifically, for example, up to how many layers deep are you going to be using EUV at 7 nano? And if you do that, how much of a cost improvement, in terms of percentage, are you expecting by using EUV versus previous technology? And what kind of customers do you think you can gain with your products that are EUV-based?
Unknown Executive: [Foreign Language] Even though we do not mention directly regarding competitor movements, our 7 nano is a full EUV and has already received recognition for its competitiveness from our customers. And it is true that inquiries regarding our EUV 7 nano as well as other cutting-edge technology has dramatically increased from customers. [Foreign Language] We have already completed our EUV-based 7 nano and have already started to produce products for our customers. We plan to go into full-scale mass production of our 7-nano EUV starting next year. Based on this dramatic and also very competitive product, we will be increasing customers in various applications, including mobile, HPC, AI as well as automotive. [Foreign Language] You also asked specific questions regarding the number of layers as well as the cost advantage. In terms of layers, actually, we can provide customized layering depending on each customer. Also, in terms of cost, what I can say is that it enables us to offer competitive prices versus competitors.
Robert Yi: [Foreign Language] And that ends our conference call. Thank you very much.